Operator: Good day, ladies and gentlemen, and welcome to the Diamondback Energy First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Adam Lawlis, Director of Investor Relations. Sir, go ahead.
Adam T. Lawlis: Thank you, Bruce. Good morning, and welcome the Diamondback Energy's first quarter 2017 conference call. During our call today we will reference an updated investor presentation which can be found on Diamondback's website. Representing Diamondback today are Travis Stice, CEO; Mike Hollis, President and COO; and Tracy Dick, CFO. During this conference call, the participants may make certain forward-looking statements related to the company's financial condition, results of operations, plans, objectives, future performance and businesses. We caution you that actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found on the company's filings with the SEC. In addition, we will make reference to certain non-GAAP measures. The reconciliations with the appropriate GAAP measures can be found in our earnings release issued yesterday afternoon. As a reminder, Viper Energy Partners, a subsidiary of Diamondback, will be hosting its conference call at 10:00 AM Central today. Dial-in details can be found on Viper's release issued yesterday afternoon. I'll now turn the call over to Travis Stice.
Travis D. Stice: Thank you, Adam. Welcome, everyone, and thank you for listening to Diamondback's first quarter 2017 conference call. Diamondback has continued the momentum from the second half of 2016 into the first quarter of 2017. Production continues to rise, up 19% quarter over quarter, to over 61,000 BOEs a day. Well results continue to improve across our asset base and we have begun operations in the Southern Delaware Basin after closing two transformative acquisitions in the last three quarters and more than doubling our acreage footprint of Tier 1 inventory. We're excited about the well results announced from our first operated wells in the Southern Delaware Basin in this quarter's release, and I'm proud of the organization for the seamless integration of these assets in a short period of time. We are operating eight rigs today, six in the Midland Basin and two in the Southern Delaware Basin, with plans to move to five rigs in the Midland Basin and three in the Delaware Basin later this month. Diamondback is currently operating three frac spreads with one of those operating in the Delaware Basin. We could potentially increase our operated rig count to 9 or 10 rigs in the back half of the year should commodity prices improve from current levels. Put simply, if returns to our investors go up, we will increase our activity to take advantage of those returns, with a current asset base capable of running up to 20 rigs as operating cash flow allows. If returns to our investors pull back, we have the operational and financial flexibility to respond accordingly. Our full year 2017 production guidance remains unchanged with over 65% annual production growth at the midpoint. Diamondback continues to deliver on its corporate mission of best-in-class execution and low-cost operations, with cash operating costs of $9.31 per BOE and well costs essentially flat compared to Q4 2016 due to increased efficiencies and service cost control. We have hired many more exceptional employees over the last several months to help us continue to execute as we increase activity on our larger asset base. We also continue to be pleased with the strength of our well results across our acreage, which Mike will elaborate upon later. As shown on slide 4, we have accumulated a strong inventory with six core areas capable of 1 million barrel-plus EURs. In each of these areas, we are focused on long lateral development with more than 85% of our locations having 7,500 foot or longer laterals. We've now built an organization with an inventory that we expect will, at current strip prices, allow us to grow at best-in-class rates within cash flow for many years to come. I'll now turn the call over to Mike.
Michael L. Hollis: Thank you, Travis. Diamondback continues to post encouraging results and achieve new company-execution milestones. Turning to slide 7, we have new data from our first operated completions in the Southern Delaware Basin. In Ward County, the Coldblood well, a 7,500 foot lateral targeting the Wolfcamp A, completed in early April, has produced 210 BOE/d per 1,000 foot of lateral for its first 15 days with an 88% oil cut. Our first operated completions in Pecos County, the two McIntyre State wells, produced an average 30 day IP rate of 158 BOE/d per 1,000 foot of lateral with an 89% oil cut. Additionally, on the Pecos/Reeves County line, we completed the State McGary well that achieved a 24-hour IP rate of 243 BOE/d per 1,000 foot of completed lateral with an 85% oil cut. We are currently running two rigs in the Southern Delaware Basin with one dedicated completion crew and plan to move a third operated rig from the Midland Basin to the Delaware Basin this month. We continue to optimize our completion design for the Southern Delaware Basin with a focus on maximizing NPV and rate of return. Slide 8 lays out the recent developments discussed earlier across our Southern Delaware Basin position. We look forward to developing these assets with wells landed, drilled, and completed by Diamondback throughout 2017. Slide 9 goes into further detail on our development plans for the Wolfcamp A in the Southern Delaware Basin. Our primary landing target is within the upper portion of the Wolfcamp A. As you can see from these well results posted on this page, these wells have a much flatter decline profile than what we have typically seen in the Midland Basin. Now turning to the Midland Basin, slide 11, shows our continued strong well results across the basin. To note, Howard County continues to outperform expectations, and each pad has had better well results than the prior pad, again, led by the Wolfcamp A. In Midland County, we highlight the Wolfcamp A well results, which places this zone in a close second to the Lower Spraberry from a returns perspective. On the lower right portion of the page, we show well results from two child wells targeting the Lower Spraberry in Andrews County using our High Density Near Wellbore frac design. The early results show these two wells are outperforming their parent wells, a positive indicator for the targeted goal of increasing recoveries from a smaller stimulated rock volume. Turning to operations and execution, slide 12 showcases our continued track record of execution, as D,C&E costs are down 44% from 2014, and down 5% when compared to fourth quarter 2016. We have forecasted service cost inflation in our 2017 CapEx budget, primarily from completions. Diamondback is proactively mitigating these costs where appropriate. For instance, we're looking at de-bundling services on the completion side of the business, and have a large percentage of tubular goods forward purchased. Slide 13 demonstrates our ability to effectively convert resource into cash flow. At $50 oil, the Lower Spraberry in the Midland Basin and the Wolfcamp A in the Southern Delaware Basin have economics that pay back 80% of capital cost in year one. We have other zones throughout both basins that will compete for capital. But these two zones will be the foundation for our multi-year production growth expectations, even in a sub $50 oil world. Slide 14 reflects our spacing assumptions relative to our peers, leading considerable upside from downspacing potential. Over 85% of our locations have lateral lengths of 7,500 feet or longer. Diamondback has continued to have success bolting on acreage and trading with other operators to block up our position. The capital efficiency of longer laterals is well recognized, and we have now completed up to 12,500-foot laterals in the Midland Basin. Slide 15 shows our operational efficiency over time, as well as our current leverage metrics, cash margins, and recycle ratio. We feel the recycle ratio clearly depicts Diamondback as a leader in creating value for its shareholders, given our high cash margins per barrel and industry-leading capital efficiencies. With these comments now complete, I will turn the call over to Tracy.
Teresa L. Dick: Thank you, Mike. Diamondback's first quarter 2017 net income was $136 million, or $1.46 per diluted share. Diamondback's first quarter 2017 net income adjusted for non-cash derivatives was $97 million, or $1.04 per diluted share. Our adjusted EBITDA for the quarter was $175 million, up 27% from Q4 2016, due to increased production and realized pricing. Diamondback's average realized price per BOE, including hedges, for the first quarter of 2017 was $41.63. During the quarter, our cash G&A costs were $1.20 per BOE, while non-cash G&A was $1.28. During the quarter, Diamondback spent $100 million on drilling and completion, and $16 million on infrastructure and non-op properties. We continue to expect to spend within our annual CapEx guidance of $800 million to $1 billion as we maintain our April activity levels and begin our infrastructure investments. As shown on slide 17, Diamondback ended the first quarter of 2017 with a net debt to Q1 annualized adjusted EBITDA ratio of 1.4 times. Additionally, our lead bank recently recommended increasing our borrowing base to $1.5 billion, from $1 billion previously. We plan to increase our elected commitment to $750 million from $500 million previously. Our full-year 2017 guidance presented on slide 18 remains unchanged for the year, with the exception of the introduction of corporate tax rate guidance of 0% to 5% and lower full-year interest expense per BOE. At current strip prices, we expect to deliver annualized production growth of over 65% at or near breakeven cash flow. I'll now turn the call back over to Travis.
Travis D. Stice: Thank you, Tracy. Diamondback was able to deliver another strong quarter because of our commitment to execution and low-cost operations. Our production was up as a result of continued outstanding well performance. Our track record of acquiring properties and subsequently executing above acquisition model expectations gives me confidence we have the organization in place to transfer our best-in-class execution and cost control from the Midland Basin to our over 100,000 net acres in the Delaware Basin, and to drive growth at or near cash flow for many years to come. Operator, please open the line for questions.
Operator: And our first question comes from Michael Glick from JPMorgan. Your line is now open.
Michael A. Glick: Morning. Just...
Travis D. Stice: Morning.
Michael A. Glick: Given the volatility of the oil market, could you talk a little bit about capital flexibility, kind of at what price point would you look to slow down, and where would you do it?
Travis D. Stice: Yeah. We talk directionally – I always hesitate to giving precise oil price, but directionally, if we're in that $45 to $50 range, I think we're very comfortable and we have the balance sheet to be able to execute with our current activity levels. I think if it starts dropping below $40, somewhere between $40 and $45 a barrel, we'll probably take a pause and see exactly what our future plans need to look like. And then I think on the other end of the spectrum, if it's $50 to $55, something like that, we'll look at potentially increasing activity in the back half of the year. I think, Michael, one of the reasons that we were hesitant in trying to change guidance at this point of the year is I think there's still a lot of uncertainty in the oil markets. And we want to make sure we preserve the optionality to drive the best returns to our investors, and we will do so just like we've done in the past.
Michael A. Glick: Got it. And then just kind of high level on the Pecos County assets, how has your view on the acreage changed since you announced the acquisition last year? Any positive surprises?
Travis D. Stice: Well, I think if you just look at the well results we put in this release, on the ReWard acreage, we knew that acreage was going to be good, particularly in the Wolfcamp A and the 3rd Bone Spring, and we're really pleased with what we've seen in that Coldblood well at over – a really good 15-day rate. I think the McGary well, which was a well that's landed in the Upper Wolfcamp A, which is what we underpinned the acquisition at, that's been a nice surprise. And the McIntyre wells that were landed in the Lower Wolfcamp A, those are still at our acquisition type curve. And so even though it wasn't in necessarily the zone that we think are going to be the dominant development zone, even those wells are at our acquisition type curve. So we feel pretty confident across the asset base and, of course, we continue to watch industry activity, not only for well results but also for continued optimization on the completion side. So all in all, we're really encouraged with what we've seen at these early times. Keep in mind, we took over operations March 1, so it's still early in the game, but we're really pleased with what we've seen.
Michael A. Glick: Got it. And then just maybe one more on Pecos County. As you ramp up your operated program, could you talk about your latest thinking on landing zones and completion design?
Travis D. Stice: Yes. So in Pecos County, what we've talked about even at acquisition time was sort of that Gen 3, Gen 4 level where we're somewhere around 2,000 pounds to 2500 pounds per foot. We think in Pecos County, the Upper Wolfcamp A, which is where the McGary well was landed, is going to be the dominant zone. And so far with good IP24 in a week or so (15:33) production, that really looks good. So we're monitoring the things that are going on out in the Delaware just like we always do. We're fast followers and we'll continue to experiment with diverters and sand loadings until we find the optimal balance of sand, fluid and rate of return and net present value.
Michael A. Glick: Got it. Thank you very much.
Travis D. Stice: You bet, Michael. Thank you.
Operator: And our next question comes from Neal Dingmann from SunTrust. Your line is now open.
Neal D. Dingmann: Morning, guys. Travis, a question around the Delaware acreage, particularly the Brigham acreage. With that, you brought in a fair amount of minerals. I'm just wondering, what you'll be drilling there in the nearer term is – I know you've got some older slides that shows the upside in Viper to what it does in some of the other Midland acres, and I'm just wondering when one looks at (16:26) the Delaware, two questions, one, will a good bit of that be drilled where you have the mineral fee acres as well? And then number two, does that upside, is that proportionally about the same as what it's been for the other Viper units?
Travis D. Stice: I'll let Kaes answer the question specifically, but I'll tell you just in a general sense from the Viper side, every time we have a drill schedule meeting, 2:00 on Thursdays and a well gets proposed to the executive team, the first question is, do we have minerals underneath that well location? So we always try to push activity towards our ownership in minerals. Kaes, do you want to answer this one?
Kaes Van't Hof: Yeah. I'll also add that with the two or three rigs that we're going to be operating in that area, primarily we're going to focus on holding leases. And then outside of that, those rigs will be drilling on Viper minerals and getting the cash flow up on those assets for the right time to drop those minerals down, so. Had a lot of success buying more minerals in that area and I think it's a good sign for Viper as well.
Neal D. Dingmann: Okay. And then, guys, just one last one. We continue to hear talk about OFS inflation. Just, Travis, in general, what some things you all are continuing to do. Just was noticed in (17:48) some of your wells versus some of the peers, and it tends to be a bit lower for some time, the equivalent sort of frac schedule. I'm just wondering of some things that you all are doing, how are you doing that to keep some costs a bit lower than others?
Travis D. Stice: Well it's not just one or two things, it's really a systematic approach to the whole organization, and trying to do things that generate the best returns at the lowest costs. And that sounds a little maybe esoteric, but really it is about culturally trying to do the best we can with the – and expend the least amount of money, in order to be the low-cost operator. Specifically, the efficiency gains we continue to push on the drilling side. As Mike talked about, we began trying to debundle some of the pressure pumping services in order to control some of those things, like diesel for example. We buy and supply our own diesel for the frac companies and the drilling rigs. So it's just a series, Neal, of a bunch of things that we try that we're picking pennies up and when you pick up enough pennies, you make a dollar, and so, while we were proud that even while we're trying to digest $3 billion worth of acquisitions, we were able to push costs down quarter over quarter. I think we said about 5% quarter over quarter. We know that trend won't continue if commodity prices continue to strengthen through the rest of this year, but we're real comfortable with where our CapEx guidance is, with a 10% overall increase in well costs throughout the full year and, as we reported, we really didn't see that in the first quarter. So I'm confident that our business partners are aware what's going on on the service side, are aware what's going on in the commodity-price world, and I'm confident that our organization has the ability to execute differentially to control costs as well, as activity levels pick up.
Neal D. Dingmann: Perfect, guys. Thanks for the details.
Operator: And our next question comes from Drew Venker from Morgan Stanley. Your line is now open.
Drew E. Venker: Morning, everyone. I was hoping on Southern Delaware, you could talk about the plans in Pecos County. Sounds like you're focusing on the Central acreage block, but I'm just curious how much other testing you'd be doing in the other parts of Pecos this year.
Russell Pantermuehl: Yeah, I mean, right now, as Kaes mentioned, we're primarily focused on near term leasehold wells, which, the biggest piece of those is kind of on the Eastern block of the acreage, where we've seen good well results previously. But we've got scattered obligations across the acreage, and we'll continue to drill those as well. So you'll see a mix as we bring in that third rig, we'll also do some other testing as well.
Travis D. Stice: Drew, just to clarify that, when Russell mentioned the eastern side of the acreage, we're talking about that Central block, not that portion of the acreage that's down in the southeast – the far southeast.
Drew E. Venker: Right.
Travis D. Stice: So it's where (20:55) we've got a bunch of good wells in that kind of Central – big Central block, he's talking about the eastern edge of that.
Drew E. Venker: Okay. Okay. Thanks for that. And then across the entire Southern Delaware, how much experimentation would you expect with the completion design? You talked about going back to the Gen 3 completions, not sure how much you think that might need to be changed, or how much additional proppant loading should be (21:19) testing this year?
Travis D. Stice: Well, Drew, we've never stopped tweaking and kind of changing our completion recipe since the very beginning. We believe that, in an organization that demonstrates excellence, you've got to always look for continuous improvement, and that's what we're trying to do. So we do so with our own testing with proppant loading, as well as following what the industry's doing as well. I'll tell you one thing that I think is a little bit different about Diamondback is that, most of the testing that we do – not most, all the testing we do – we always underpin with, what's the corresponding rate of return and net present value impact for that decision? And so, I think right now, we're going to stay in that proppant loading of around 2,000 to 2,500 pounds per foot. We'll probably continue to experiment with the cluster spacing and stage spacing. But again, we understand that the Delaware Basin is new not only for Diamondback, but is still relatively new for the industry. So we're going to watch what goes on very, very closely with other operators in the Delaware. And if we feel like we can generate differential returns to our investors, we'll modify the completion or the drilling or any of the things that we think will drive better returns for our investors.
Drew E. Venker: Makes sense. Thanks.
Operator: And our next question comes from Gordon Douthat from Wells Fargo. Your line is now open.
Gordon Douthat: Thanks. Good morning, everybody. Just a question on the downspacing, looked like – the initial data looked promising, I guess, in Andrews County. So my question is, to what extent have you tested downspacing elsewhere across your acreage? And from what I can tell, looks like it's just in the Lower Spraberry here in Andrews, have you done any downspacing in any of the other zones as well?
Russell Pantermuehl: Yes, I mean, we've done a lot of 500-foot spacing wells in our Midland County assets in the Lower Spraberry, this Andrews County is our first test at 500-foot spacing in the Lower Spraberry there for the most part. And our other assets on the east side of the basin, we're primarily at 660-foot spacing in the Lower Spraberry, the A and the B [Wolfcamp A and B]. We do have some offset operators in our Midland County stuff that are testing downspacing, primarily in the Wolfcamp A, and so we're watching that data pretty closely as well, depending on those results, we may do some additional downspacing in the Wolfcamp A.
Gordon Douthat: Okay. And then understanding that it takes some time to see how the wells produce and to see how the economics ultimately play out, but what is that timeframe in your view? How long does it take to make the decision we're going to go 500-foot spacing on a go-forward basis?
Russell Pantermuehl: Yeah, but it's going to take a little time, just like our Andrews County test. That's one three-well pad, so we'll have to drill some additional wells there before we make a wholesale decision to go to tighter spacing across that whole area.
Gordon Douthat: Okay. And then one last one for me. On the parent-child production slide that you put up there looked pretty promising. What were those wells spaced on versus – where were the child wells spaced versus the parent wells?
Russell Pantermuehl: All the wells are on 660-foot spacing for those four wells.
Gordon Douthat: Okay. Thank you.
Operator: And our next question comes from Gail Nicholson from KLR Group. Your line is now open.
Gail Nicholson: Good morning. When you talk about being an asset capable of running 20 rigs, is that driven by surface acreage or is that driven by drilling inventory?
Travis D. Stice: Gail, it's more a function of surface acreage in how efficiently we can coordinate drilling and completion operations, it's not a function of inventory.
Gail Nicholson: Okay. Great. And then just looking at the Delaware and the first, execution of the drilling standpoint on the ReWard area as well as the Pecos area, has anything surprised you in the drilling aspect? From an efficiency aspect, have you been more efficient, quicker? Or kind of what's the thoughts on improving those TD days (26:06) in the Delaware?
Michael L. Hollis: You bet, Gail. This is Mike Hollis. Hey, the answer's yes. We've seen a lot and learned a lot, and obviously, as we do our research and look at what other folks are doing out there, it's really not until you get in the sand box that you really get to learn how the rocks are going to act and talk to you. So we've learned a lot in our last couple wells, and we will draw the same kind of optimization that we have in the Midland Basin side over in the Delaware side. Again, just for the depth and the pressure regimes, it should end up taking a couple days longer on the Delaware side than the Midland side, but you'll see us start migrating toward the Midland performance.
Gail Nicholson: Great. And then just also from a standpoint looking at your conservative spacing, in the Delaware, it looks like you're only assuming one zone in the Wolfcamp A, but I'm assuming when you're landing them, are you landing them in the upper zone, you have the ability to go back and do the lower zone at a later date?
Russell Pantermuehl: Yeah. But that's just something we'll evaluate over time. And as we said, as we bring in the third rig in the Delaware, we'll probably do some pilot testing where we're testing Upper and Lower A together, but right now we don't have enough data to say that we can do that. But we're optimistic.
Gail Nicholson: Okay. Great. Thank you.
Operator: And our next question comes from John Nelson from Goldman Sachs. Your line is open.
John Nelson: Good morning, and congratulations on a really, really strong quarter.
Travis D. Stice: Thank you, John.
John Nelson: Your oil mix came in ahead of Street estimates for the quarter. As I take a look at the ops update, your (27:53) 90% oil wells. I'm wondering if you could just speak at a high level of how should we expect that oil mix to trend over the next couple quarters.
Russell Pantermuehl: I think it'll stay about flat, there'll be variation quarter to quarter, as we've always seen. As you noted on the Delaware side, we're in a really high oil cut area, but on the Midland side, eastern side of the Midland Basin where we've seen really good overall results, and we'll continue with activity there. Those are a little bit gassier, so I think overall, probably for the remainder of the year, we should probably stay close to that 75% oil cut level.
John Nelson: That's helpful. And then some of your peers have noted inflationary pressures in the Delaware Basin are running a bit hotter versus the Midland Basin. Could you just comment, is that something you all are seeing as well? Or any kind of quantification would just be helpful.
Michael L. Hollis: You bet, John. We see about the same inflationary pressure from both basins. Most of the inflation that we've seen has been on the pressure pumping side and again, pressure pumping in from the sand side. So when you go to the Delaware, where a lot of folks are still experimenting with really high sand loadings and large jobs, they're getting a disproportionate size of inflation that they're seeing from the Delaware side. But in general, we're seeing about the same from both basins.
John Nelson: And then just one true up (29:29). If you did add the 9th and 10th rigs in the back half of the year, is that something that was already contemplated in the 2017 capital guidance of $800 to $1 billion, or would that be something that would either require efficiency gains or for you to raise that budget?
Michael L. Hollis: John, our original budget was from 6 to 10 rigs and that had us from that $800 to $1 billion price range. So they were baked into the initial guidance that we'd given.
John Nelson: So the high end of that range. Okay. Perfect. That's all. Congrats again on a really strong quarter.
Travis D. Stice: Thanks, John.
Operator: And our next question comes from Dan McSpirit from BMO Capital Markets. Your line is now open.
Daniel Eugene McSpirit: Thank you, folks. Good morning. Can you share your view on basis differentials? Asking in light of the basis swaps you've added in 2018 at less than $1 dollar per barrel.
Kaes Van't Hof: Yes. Hey, Dan. This is Kaes. We're pretty happy with the basis hedges we have on at this point. We're also very encouraged by the announcements that have happened in the last quarter on greenfield expansion as well as the brownfield projects that are being expanded over the summer. So we're happy where we are today. And I think you'll see that these midstream guys are looking to fund these greenfield projects, given the growth they're seeing coming out of the basin. So I think we're pretty happy with where our hedge position sits, and where the takeaway capacity is heading out of the basin.
Daniel Eugene McSpirit: Great. Thank you. And as a follow-up, just a question on portfolio management, if you will. If we look out 9, 12 months from now, after the company has had time to, I guess, fully digest the acquisition, what basin or operation, Midland or Delaware, yields the highest return in your view? And is there anything in the portfolio that can't compete or won't compete for capital, and could be a candidate for divestiture?
Travis D. Stice: Yes. I think the first part of that question is – we addressed in one of the slides, I can't remember which slide it is, but we actually say that what we see in the Upper Wolfcamp A, even at the higher cost, because you have a higher EUR per foot, it's competitive with the Lower Spraberry in the Northern Midland Basin. So, if that premise holds true in the next 12 months, well then you should have equal allocation of capital in both sides of the basin. And the second question was, are there portions of the portfolio which don't make sense to allocate capital to initially. And I think, like any company, when you look at some of the inventory that's out on the very tail end, it's going to have a hard time competing for capital. So, would we divest? I don't know. We've got a lot to say grace over right now, so we're focusing on trying to execute and some of the late portfolio development assets, we'll address that sometime through the course of this year.
Daniel Eugene McSpirit: Very good. Thank you. Have a great day.
Travis D. Stice: Thank you, Dan.
Operator: And our next question comes from Richard Tullis from Capital One Securities. Your line is now open.
Richard Merlin Tullis: Hey, thanks. Good morning, everyone. Travis, what was the drilling completion cost for the initial FANG-operated Delaware Basin wells? Have you already achieved the completions cost referenced in the investor presentation at $550 per foot level?
Travis D. Stice: Yeah, Richard, I'm going to let Mike address the question specifically, but I will tell you that, early on in the Delaware Basin, we've done some science that -science means more expense in these first couple of wells, but I'll let Mike talk about them specifically.
Michael L. Hollis: So Richard, on the completion specifically, with your $550 question, the answer is yes, the completions have all come in at or right near our cost for the $550. Total drill complete and what we've had to do from the equip side up to this point, of course, these wells are naturally flowing right now, so the equip piece is a little smaller than normal. But we have, as Travis said, done some science, so ex-science, we're right in our guidance range for the wells.
Richard Merlin Tullis: All right. Thank you.
Michael L. Hollis: For the drill bit side.(33:44)
Richard Merlin Tullis: And then, what percentage do you expect in, say, the second half of the year of the Delaware Basin wells will be drilled on two-well pads?
Michael L. Hollis: So Richard, after the first four, five wells in each one of our big blocks, those – Brigham piece as well as the Luxe piece, will go to pad development after that point. And when we bring that third rig over, that will obviously make it a lot easier to drill pad wells and still meet the few obligations that we have throughout the year.
Richard Merlin Tullis: All right. Thank you. And Travis, how's the infrastructure buildout proceeding in the Delaware Basin? And what do you expect infrastructure spending could be over, say, the next one or two years? And just your current view on maybe infrastructure being a more meaningful asset within the FANG portfolio going forward.
Travis D. Stice: Yeah, Richard, I'm going to let Kaes answer that question. He's got his finger on that pulse pretty closely.
Kaes Van't Hof: Yeah, Richard, the large projects are proceeding as planned. We didn't spend that much money in Q1, just because we closed Brigham at the end of February. So, through the rest of this year, we still have $150 million to $175 million budgeted for infrastructure, and I would say that spend is going to be fairly even over the last three quarters of the year. On the Brigham stuff, we did acquire gathering system on the gas side that was in place, and some significant water assets that were in place. So that's allowed us to seamlessly transition into that asset. In the long term, we're focused on maximizing our netbacks at Diamondback, and that's why we're building these systems over the next 9 to 12 months.
Richard Merlin Tullis: Okay. And then just lastly, so 1Q, obviously, a very strong quarter for cost controls. How much more opportunity do you see at FANG for driving OpEx cost even lower, or at least keeping it flattish, given you're coming out of acquiring a sizable asset there, so perhaps that presents some opportunities to keep the momentum going?
Travis D. Stice: Yeah, Richard, you've heard me say before that we'll never quit pushing on the LOE reduction side until we can produce these wells for free. So I'm not ready to say we're going to go the other way at any time. But the reality is that we've got a lot of new assets we're bringing in and it takes all of our field organization every day, leaning into the brace (36:17), trying to make sure we produce these wells as efficiently and as cost effectively as we can. And like I said, we didn't make a bullet point out of it on our earnings release, but even in the process of dialing in (36:30) 100,000 new acres, our field organization lowered LOE quarter over quarter, which I was real proud of them for being able to do that, especially against the backdrop of acquiring new assets.
Richard Merlin Tullis: Well, that's all for me. Great quarter. Thanks a bunch.
Travis D. Stice: Thank you, Richard.
Operator: And our next question comes from John Aschenbeck from Seaport Global. Your line is now open.
John W. Aschenbeck: Good morning, thanks for taking my question. A lot of the good ones have already been addressed, but did have a question here on timing of test of additional zones in Pecos County. And I understand most the activity this year is going to focus on the A, but if I recall, I believe you had several Bone Spring completions scheduled for this year. So was just curious to get an update on the timing of those tests and when we should expect results. Thanks.
Russell Pantermuehl: Yeah, we've got a couple of DUCs that Brigham drilled that we'll be completing that are in the Bone Springs. And as we mentioned at acquisition time, they had some previous Bone Springs test, had some nice results. Right now, we don't have any specific additional Bone Springs test scheduled on the Brigham acreage this year, but we'll just complete those DUCs and see how those results stack up with the Wolfcamp A before making a decision on a go-forward basis.
John W. Aschenbeck: Okay. Got it. And I guess, just be looking for those results in the back half of the year, then.
Russell Pantermuehl: Correct.
John W. Aschenbeck: Okay. Thanks. That's it for me.
Travis D. Stice: Thanks, John.
Operator: And that this time, I'm showing no further questions. I'd now like to turn the call back over to Travis Stice for any closing remarks.
Travis D. Stice: Thanks again to everyone for participating in today's call. If you have any questions, please contact us using the contact information provided.
Operator: Ladies and gentlemen, thank you for your participation in today's conference, and this does conclude the program. You may all disconnect. Everyone, have a great day.